Operator: Good day, and welcome to the UFP Industries Fourth Quarter and Full Year 2025 Earnings Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Stanley Elliott, Director of Investor Relations. Please go ahead.
Stanley Elliott: Good morning, everyone, and thank you for joining us to discuss our fourth quarter results. With me on the call are William Schwartz, our President and Chief Executive Officer; and Mike Cole, our Chief Financial Officer. Will and Mike will offer prepared remarks, and then we will open the call for questions. This conference call is available to all investors and news media through the Investor Relations section of our website, ufpi.com, where we will also post a replay of this call. Before I turn the call over, let me remind you that yesterday's press release and presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from expectations. These statements also include, but are not limited to, those factors identified in the press release and in the company's filings with the Securities and Exchange Commission. I will now turn the call over to Will.
William Schwartz: Good morning, everyone, and thank you for joining today's call to discuss our fourth quarter financial results for fiscal year 2025. We'll start by sharing our thoughts on the quarter and what we're seeing in the marketplace before providing some thoughts on where we see the business heading into 2026 and opening the call for questions. The market dynamics we saw in early 2025 continued into our fourth quarter with net sales totaling $1.33 billion, representing a 7% decline in units and a 2% decline in price. Our profitability remained pressured, although the structural improvements we've made to the business were masked by several onetime accounting items Mike will detail later in the call. 2025 proved to be a difficult operating environment with several of our key markets facing both cyclical and competitive pricing pressures. Despite generally soft end market demand, our fourth quarter sales and profits were in line with internal expectations. On a trailing 12-month basis, our margins continue to flatten, and we continue to see stabilizing trends across the majority of our businesses. Throughout the year 2025, we took disciplined steps to invest in the future success of our business while returning capital to our shareholders. Last year, we executed on share repurchases of $443 million, representing 7% of outstanding shares. Further, we paid $82 million in dividends, and we announced a 3% dividend increase for 2026. We spent $270 million on maintenance and growth CapEx, Together with share repurchases and dividends, that's roughly $800 million of capital deployed in a disciplined and balanced fashion, and we still have $2.2 billion in balance sheet capacity. A hallmark of our balanced portfolio is our ability to generate strong and consistent free cash flow. This only enhances our position looking ahead. We plan to use our strong balance sheet to pursue meaningful M&A opportunities while continuing to return capital to shareholders through opportunistic share repurchases and dividends. Finally, our team made progress navigating a tough environment and executing on our strategy to manage things within our control. We exited underperforming businesses, reduced excess capacity, and we are on a path to successfully achieving our $60 million cost-out program. We expect to see the savings continue to build throughout the year as we remain committed to lowering our cost structure. As a result, we are entering 2026 in a stronger position to drive improved results. As we've said before, we continue to focus on innovation across the portfolio to bring value-added and higher-margin products to market. New product sales totaled 7.6% of total sales, and we like the trajectory and opportunities ahead of us. As we move into 2026, we are in position to build on that momentum. Last week at the International Builder Show, we showcased 5 new products and brands. We continue to build on the success of our Surestone technology introduced to the market last year. In the decking space, we are responding to market demand with a new color palette and continue to enhance our offering with a patent-pending process designed to closely mimic the look of natural wood. We further leveraged the success of our Surestone technology with the introduction of a new trim board, which brings the outstanding qualities of Surestone into the trim space. Additionally, our Deckorators brand continues to expand our lineup of decking and railing products. Deckorators introduced to our traditional wood plastic composite offering, a Class B fire rated option at a price point targeting the retail and do-it-yourself customer. We have expanded our railing portfolio, giving us product at all price points in all consumer styles. Capitalizing on our strength and knowledge in the decking space, ProWood recently introduced TrueFrame Joist, the business unit's first proprietary product designed specifically for use in deck substructures. The value we add on the front end eases several common pain points for contractors, saving time and money. Finally, UFP Site-Built launched Frame Forward Systems, which leverages our depth of experience in construction and our investment in automation to ease some of the bottlenecks common to on-site construction with an off-site system solution. I also want to note that while not featured at IBS this month, our packaging business continues to design and engineer proprietary packaging solutions that promote in-line safety and improve productivity. We are encouraged by the patent awarded to our nailgun-free crate fastener U-Loc 200 this past December, and we'll continue to build on this success. These are just a few examples of the types of actions up and down our brand portfolio to position us for success and market share gains. M&A has always been a key part of our growth strategy, and that will not change. With $2.2 billion in liquidity and strong recurring free cash flow, we are entering the year with flexibility. Our pipeline is more active today than it has been in the past 36 months, and we have identified targets across each of our business units that can strengthen our core. At the same time, we have taken intentional steps to be more strategic in our deal evaluation. We remain focused on complementing our core business and how a potential asset meets those criteria while delivering strong future growth and margin accretion. Above all, we will remain disciplined on valuation and stay true to our return targeted approach. Let's start with our Retail segment. Our largest business, ProWood, has performed well even in a tougher market. Results in the ProWood segment were impacted by the lack of storm activity in the quarter versus a year ago, creating an unfavorable comp. We continue to work on lowering our cost positions and improving our manufacturing processes. Turning to Deckorators. We continue to see strong demand across our portfolio of products, and we were very pleased with our early buy program for our proprietary Surestone product. Demand for our Surestone product outstripped our ability to produce for much of the year. However, recently added capacity is helping our teams work through those strong backlogs. The Selma expansion is complete and the start-up at our Buffalo plant is progressing nicely. We expect that the additional capacity will come online by the end of the first quarter. Both the Buffalo expansion and the expansion at Selma are on track to support robust demand in our spring selling season. Increased output, combined with strong demand drove a 44% increase in Surestone sales in the quarter and 35% increase in wood plastic composite sales. We believe both metrics are well ahead of the broader industry, and we remain optimistic about the 2026 selling season. To build on this momentum, we will maintain our higher marketing spend for 2026. As a reminder, we invested $30 million to support the brand, and we are pleased with the initial success. Our internal metrics indicate a successful return on the investment, unaided brand awareness, product sample requests and website traffic, just to name a few, have exceeded our expectations. Finally, we continue to expand our distribution partnerships as well as investing in internal distribution capabilities. We believe our ability to distribute internally remains a key competitive advantage for us long term. These expansion plans and investments are consistent with our plans to double our composite decking market share over the next 5 years. Moving on to our Packaging segment. The business continues to show signs of stabilizing, both in terms of sales volume and gross profit. Pricing remains competitive given the softness in certain markets. The lack of visibility caused by ongoing tariff discussions and volatile lumber pricing made 2025 a challenging market, but our team was busy working to position us for success. Our national footprint gives us the ability to support strategic customers in multiple geographies across the country. And our design and engineering capabilities separate us from many of our smaller more regional competitors. Our business has become a trusted partner for major global brands and customers with highly specific specialty needs alike. This coupled with our scale and financial flexibility gives us the opportunity to invest in automation to lower our cost position while developing innovative and patented solutions for our customers. With the improvements we made to the business, we expect above-market growth when the market recovers. To finish with construction, markets remained pretty consistent to our last quarter, where we reported a competitive new residential construction environment impacting results and overshadowing improvements in our other businesses. Residential builders continue to look to manage home inventories while consumer confidence and affordability remain challenged. While we don't have a national footprint, we do overlap with some of the markets that have been more pressured, particularly in the West. We continue to make investments in automation and other initiatives to improve our cost position and throughput. As previously mentioned, our Site-Built business launched Frame Forward Systems, which joins our successful and durable building products and Pivot Systems brands into a single solution selling approach. We have already been able to leverage this to secure major contracts with new national customers. Our factory-built business continues to add more value to our customers by using our expertise to develop products that improve the aesthetics of manufactured housing such as the addition of our Endurable drop-down deck with Deckorators decking. Our concrete forming business continues to expand our product portfolio and services offering to capture more of our customers' wallets while helping them address labor challenges on the job site. Finally, our commercial business continues to yield improved results built on new products, new customer wins and the benefits from prior restructuring efforts. Looking ahead, we remain committed to our long-term targets and believe the steps we are taking today will position us to achieve these results in the future. As a reminder, we are driving towards the following goals: a 12.5% EBITDA margin, 7% to 10% unit sales growth, some of which will come from M&A and new products; return on invested capital in excess of 15%, which is well ahead of our cost of capital; and lastly, to achieve all of this while maintaining a conservative capital structure. We are entering 2026 in a position of strength. We are excited about the changes underway as we continue to refine and strategically refocus our business. As we've said before, our focus remains on the most attractive opportunities that enhance our core business. We are making progress even in this down cycle, and we finished the year with an EBITDA margin that is 170 basis points higher than in 2019. We will continue to bring to market value-added solutions that will strengthen our company, all for the benefit of our shareholders, our customers and our communities. Thank you again for joining us today. We're proud of the progress we've made and the talented teams behind it, and we remain confident in our path forward. With that, I'll hand the call over to our Chief Financial Officer, Mike Cole.
Michael Cole: Thank you, Will. Net sales for our December quarter were $1.3 billion, down 9% from $1.46 billion last year. Results were driven by a 7% decline in units and a 2% decline in pricing. The decline was a continuation of the trends we've experienced in 2025, resulting from weaker demand in a more competitive market, particularly in our business exposed to new home construction. These headwinds resulted in a 10% decline in our gross profits to $217 million from $240 million last year, primarily due to our Site-Built and ProWood business units. Positively, we continue to make strong progress on our $60 million cost out program in the fourth quarter, and we're pleased to achieve an $11 million reduction in our core SG&A despite a $3 million increase in advertising costs to support future growth in our Deckorators business unit. The overall increase in our total SG&A was due to bonus expense. Last year, our estimate of bonus expense was overstated in the first 3 quarters of the year, and that resulted in very little expense in Q4. This resulted in a $14 million increase in bonus expense for the fourth quarter compared to the year ago period. This was also a quarter that had certain nonrecurring noncash adjustments including gains from insurance settlements and from the sale of real estate as well as losses from asset impairments and from additional deferred income tax expense. For these reasons, we think adjusted EBITDA is a good metric to assess our performance this quarter and the difference in year-end bonus adjustments is also important to consider. Excluding bonus expense from each period, adjusted EBITDA was $124 million this year compared to $135 million last year, an 8% decline, reflecting our decline in gross profit offset by the reduction in core SG&A I mentioned earlier. Even with these headwinds and in the most challenging part of the current business cycle, our return on invested capital for the year remained resilient at 13.2%, well above our weighted average cost of capital. And our free cash flow for the year was strong at $451 million, off only 5% from 2024, providing ample resources to complete $443 million of share repurchases this year or roughly 7% of our shares outstanding at the beginning of the year. Moving on to our segments. Sales in our Retail segment were $444 million, a 15% decline compared to last year, consisting of a 13% decline in unit sales and a 2% decrease in prices. By business unit, we experienced a 13% unit decrease in ProWood and a 57% decrease in Edge due to the restructuring and repositioning of that unit offset by a 17% increase in Deckorators as our market share gains are becoming more evident. Our ProWood volume last year was impacted by storm-related demand as well as softer demand generally resulting from higher interest rates and weaker consumer sentiment. Within our Deckorators unit, growth was driven by our wood plastic composite decking, which increased 35% in our Surestone composite decking, which increased 44%. Our railing sales declined 7% due to the loss of placement with a large retail customer we mentioned in previous quarters. Looking ahead, we lapped difficult comparisons in early 2026 and believe next year's results will be more reflective of our position in the marketplace because of momentum in both our traditional wood plastic composite and our new Surestone products as we expand distribution in both the pro and retail channels. Moving on to Packaging. Sales in this segment declined 1% to $370 million, consisting of a 1% decline in units and flat pricing. Customer demand in this segment remains consistent with prior quarters, while pricing remains competitive. Importantly, we continue to gain share with key customers across all 3 business units. Structural Packaging volume increased by 1%, which marked the first positive year-over-year comparison since 2021. Our Protective Packaging and PalletOne businesses experienced 2% and 4% unit declines, respectively, as market conditions remain challenging. Turning to Construction. Sales in this segment declined 10% to $440 million due to a 5% decline in selling prices and a 5% decline in units. The decline in the quarter was driven by a 17% unit decline in our Site-Built business. Demand for housing remains challenged due to affordability and weak consumer sentiment which is amplified by many of our larger builder customers working to lower inventory. Our regional footprint and product mix, both negatively impacted results as we are more heavily weighted to single-family housing and have a strong footprint in Texas and Colorado, which have seen more significant declines in demand. Positively, we saw low single-digit volume increases in each of our factory built, commercial and concrete forming business units as an offset. With respect to our overall profitability, our consolidated gross profits decreased by $23 million driven primarily by our Site-Built and ProWood business units as a result of lower volumes. These decreases were offset by modest improvements in our Concrete Forming, Commercial and Deckorators business units, along with our captive insurance company. Total SG&A increased by $3 million because of bonus expense, as I previously mentioned, offset by an $11 million reduction in our core SG&A despite a $3 million increase in Deckorators advertising costs. As we manage through this cycle, we're focused on maintaining the right balance between cost discipline and advancing our long-term objectives. That means ensuring the company is appropriately sized relative to current demand while continuing to invest in the resources needed to drive growth, expand market share, further product innovation, strengthen brand awareness and improve operational efficiency through technology. With these objectives in mind, we set a goal at the beginning of 2025 to achieve $60 million of cost reductions by the end of 2026 with half coming from SG&A and the other half coming from capacity consolidations that reduce our cost of goods sold. I'll give you a status update on that objective. Our annual core SG&A expense, which excludes bonus and sales incentives, decreased by $21 million for the year because of $35 million of targeted cost reductions, surpassing our $30 million target, and a $6 million gain from an insurance settlement. These reductions were partially offset by a $20 million increase in Deckorators advertising costs. Looking ahead to 2026, we anticipate core SG&A of $570 million, a $20 million increase primarily because of higher compensation, health care and other benefit costs. Further, we estimate current period bonus expense will be 17% to 18% of pre-bonus operating profit, vesting expense associated with share-based bonus awards will total $21 million, and sales incentives will be approximately 3% of gross profit. We also achieved $7 million of cost reductions from capacity consolidations in 2025 and believe we will achieve an additional $25 million in 2026, surpassing that $30 million target as well. We're very proud of the efforts of our leaders to lower our cost structure in all our businesses and support teams. When combined with the successful efforts of our sales teams to win market share, and the capacity we've added to grow our higher-margin businesses, we believe we are positioned well for better bottom line results in 2026. Moving on to our cash flow statement. Our operating cash flow was a robust $546 million for the year. When combined with our strong balance sheet, we have ample resources to pursue our strategic growth objectives while also providing additional returns to shareholders through increasing dividends and opportunistic share repurchases. Our investing activities included $106 million in maintenance CapEx and $164 million in capital to drive future growth and profitability. Total CapEx was below our $275 million to $300 million target for the year due to longer lead times and our decision to postpone adding new capacity in markets where we see end market weakness coupled with sufficient capacity. As a reminder, our expansionary investments are primarily focused on 3 key areas: expanding our capacity to manufacture new and value-added products, geographic expansion in core higher-margin businesses and achieving operational excellence and efficiencies through automation. With regard to our capital expenditures for 2026, we currently plan to spend approximately $300 million to $325 million. Finally, our financing activities primarily consisted of returning capital to shareholders through almost $82 million in dividends and $443 million in share repurchases. The strength of our cash flow generation and balance sheet allows us to continue to invest in growing the business while also being more aggressive on share buybacks. We currently believe 2026 will return to a more normalized cadence of repurchases. However, we will remain opportunistic. And as we displayed in 2025, we can easily allocate more free cash flow towards repurchases while preserving the balance sheet for more meaningful M&A and other growth investments. Turning to our capital structure and resources. We continue to have a strong balance sheet. At the end of December, we had $914 million in surplus cash and no borrowings outstanding under our lending agreements, bringing our total liquidity to $2.2 billion. Our balanced business model generates meaningful and consistent free cash flow, which totaled $451 million in 2025 and was substantially used to return cash to shareholders. As we've discussed in the past, our highest priority for capital allocation is to drive organic and inorganic growth that results in higher margins and returns for the enterprise. Our strategy also includes growing our dividends in line with our long-term anticipated free cash flow growth and repurchasing our stock to offset dilution from share-based compensation plans. As we've demonstrated, we'll opportunistically buy back more stock when we believe it's trading at a discounted value. With these points in mind, our Board approved a quarterly dividend of $0.36 a share to be paid in March. This is a 1% increase from our October dividend and represents a 3% increase from the dividend paid a year ago. Last July, our Board of Directors approved a $300 million share repurchase authorization effective through the end of July 2026. We were very active in the quarter and for the year, repurchasing $443 million of our shares at an average price just over $98 per share. Finally, we continue to pursue a growing pipeline of M&A opportunities that are a strong strategic fit with our core business that adds higher margin and growth potential to our current portfolio of businesses. As we pursue these opportunities, we will remain disciplined on valuation to ensure we earn appropriate returns on our investments. I'll finish with comments about our outlook. We expect that many of the trends we saw in 2025 will continue in 2026, resulting in full year organic volumes being flat to down low single digits for the year. Nevertheless, we are cautiously optimistic for 2026 and anticipate market share gains and our cost-out initiatives will offset the headwinds in our businesses tied to new residential construction. We have confidence in our business model, and we continue to focus on things within our control. We believe we've taken the right actions to reduce costs, eliminate excess capacity and exit underperforming or noncore businesses while positioning the company to deliver above-market growth and margin expansion as market conditions normalize. With that, we'll open it up for questions.
Operator: [Operator Instructions] And our first question will come from the line of Kurt Yinger with D.A. Davidson.
Kurt Yinger: I wanted to start off on Deckorators, sort of a 2-parter. First, can you just provide us an update in terms of where you're at with the Summit store rollout and maybe how much of that benefit you still have ahead recognizing 2025 wasn't kind of a full year by any stretch. And then second, on the cost side, you talked about Selma, the new lines being implemented. You've got the new facility in Buffalo. What kind of opportunities are there on kind of the margin front as you grow into that new capacity this year?
William Schwartz: Yes. So let's start with the first question and revolving around, and I know that's top of mind for a lot of folks is where are we in the rollout? We continue to gain share and increasing that store count as the capacity comes online. I think it's actually, when you start to think about whether it's on shelf or whether it's in the distribution centers that support those stores, I think it's more important to really kind of pivot that or think about it, Kurt, I think it would be better for you. We expect $100 million of increase in Deckorators sales in 2026. So if you think about that, the increase of $100 million heavily weighted towards decking, I think, is a better representation. And that's because of wins in both retailers as well as the independent channel. So I think that's probably a better number for you because it gets a little cloudy when you're trying to figure distribution center on shelf, et cetera. So -- as you pivot to the second question that you had, we still have tons of opportunity when you talk about margin growth. And we're not going to get to the point of giving you margin, we don't share margins. But we're bringing things in-house that we're outsourcing. Production capacities are threefold with the new equipment. And so we've still got a lot of gains to make there, and I think that will be represented as we go forward.
Kurt Yinger: Got it. And that $100 million, you said a lot of that was decking. I mean that's off, what, like $190 million kind of decking base this year? Is that kind of in the ballpark?
Michael Cole: Yes. I think decking this year was about $165 million with mineral-based composite Surestone technology being a little bit more than the wood plastic composite. And then we had another $80 million in railing sales. That's another number you guys are usually interested in.
Kurt Yinger: That's super helpful. And then on the SG&A line, are there any other kind of facility consolidation or rationalization opportunities you're considering just kind of given the tepid demand environment continues to drag on? Or how might we think about potential upside levers to that $60 million target you guys outlined for this year?
William Schwartz: Yes. Kurt, I guess I would answer that with saying the heavy lift is done. We did a lot of work, but we're constantly looking at that, looking for opportunities to control capacity where we don't need it. And so that's an ongoing effort, but I think the heavy lift is -- has been done.
Michael Cole: Yes, from my comments, you can tell that we feel like we're going to surpass the cost-out goal with the capacity consolidations this year. We accomplished the SG&A goal in '25. I mean, if there's one other area I suppose where there's some profit improvement that we're looking to mine out of this is maybe on the greenfield side. We still have some greenfields that take time to get to the level where you want them at in terms of profitability. So we do -- and then you always have a few operations that are kind of performing to expectations. So those are another -- those are additional kind of upside opportunities in addition to the Deckorators growth, which is the biggest lever.
Kurt Yinger: Got it. Okay. Perfect. And lastly, just on M&A. Is there anything to kind of read into the meaningful comment in terms of maybe the size of opportunities that you're looking at today? And then secondly, what's kind of shifted in terms of the pipeline being so much fuller today than maybe the last couple of years? Is it just different businesses coming to market, maybe selling price expectations? Just trying to understand that piece.
William Schwartz: Yes. I think there's a lot of the work we're doing internal. I would tell you, one, we're building on the team both from strategy and M&A, and that's to really drive. We're doing more outreach than we've done in the past in prospecting, but that is for strategic priorities. We're laser-focused on where we want to go. And so we're doing the outreach where in the past, we probably waited for a lot of things to come to us that were for sale. We're trying to encourage that activity today.
Operator: One moment for our next question, and that will come from the line of Reuben Garner with Benchmark.
Reuben Garner: Just to start, I've lost you a little bit on the Deckorators comments. Can you just clarify, did you say that you guys did $165 million in decking business split between Surestone and Composite in 2025 and you're expecting to add $100 million to that in '26. Is that right?
Michael Cole: Yes. Yes. And I further went on to say $165 a little more weighted to the mineral-based in decking. And then there's $80 million in railings, so $245 million total. And then to get to the business unit total, there's another $70 million in fence and deck accessories. So those are -- that's kind of the breakdown for '25. And then yes, the $100 million in growth in Deckorators is predominantly on the decking side.
Reuben Garner: Okay. And just -- so maybe the follow-up to clarification of that is like it sounds like you have a lot of visibility into that. How much kind of the load-in did you benefit from in '25 and what of that $100 million is sort of load in, in '26? And is it sort of just one specific retail? You mentioned distribution. Are there others? I know you picked up one, I think, out in the West Coast last year. Is there more external distribution that you've had access to that you can kind of quantify where you are in that process as well?
William Schwartz: Yes. So Reuben, there's certainly a load-in exercise, and you'll see that in the first and second quarter, leading into the selling season. But I would tell you, it's across all the areas that we do business. And the main thing to think about is we were really limited in 2025 from a capacity standpoint. And so whether it was our internal distribution, distributors, all areas, we were limited and our sales would have been better in 2025. So you're going to kind of see that materialize in 2026 with those additional capacities. And kind of as a reminder, between Selma and Buffalo, there's $250 million of capacity between the 2 once they're both running totally.
Michael Cole: I should mention. We don't want to lose sight of the margin here either. Reuben, we -- I would say we experienced very little margin lift because the capacity wasn't fully optimized. And so really, the large -- almost all of the margin lift we see coming and then we had to sell through those inventories, right? So we see the margin lift coming in '26.
Reuben Garner: Okay. And to be clear, where are you at in terms of like how much of that new capacity? What percentage of it is up and running today? How much more work do you have to do to get it fully optimized? Is it a quarter away? Are we already there and the benefits are going to start flowing through as soon as the first quarter?
William Schwartz: Yes. So think of the 2 plants, Selma, fully operational. Everything is in place and operating. There's still optimization that happens with new equipment, et cetera. Buffalo comes online end of Q1, early Q2. So give it a quarter to really get up and ramped up. So back half of the year, you're starting to see full capacity.
Reuben Garner: Okay. Great. And then switching gears on the packaging business. It seems like another good quarter of stabilization. What about like actual green shoots or leading indicators of any kind? Do you see anything internally that would suggest we might actually -- I know your outlook kind of talked about flat to down. I guess I'm curious how conservative is that? It seems like there has been some encouraging metrics we would have historically looked at for you guys? Like is it just too early to call that we're inflecting to growth but those signs are there? Or are you not seeing the same kind of signals?
William Schwartz: Yes, it's still early. I would point to our structural packaging group. The work that our strategic sales teams are doing with multinationals and things of that nature, really starting to make progress there. And the near-shoring opportunities that we believe will come. So we're seeing some green shoots, but it's still early.
Operator: One moment for our next question, and that will come from the line of Jeffrey Stevenson with Loop Capital.
Jeffrey Stevenson: I appreciate all the color on Deckorators' expectations. That's been very helpful. And I just wondered, is it fair to assume the pace of share gains should accelerate in 2026, especially with the new capacity coming online to meet the elevated backlogs you spoke of. And also, do you see additional opportunities moving forward to further expand your distribution partnerships to complement your direct business, given some of the changes we've seen with the 2 market leaders over the last year?
William Schwartz: Yes, I think that's a very fair assessment. And yes, we're extremely excited, as you can tell that internal distribution side is big for us. And honestly, we didn't really get to capitalize on that last year, again, going back to the capacity challenges. So yes, in the market today, there's excitement around the brand, excitement around the product. And we're trying to decide who the right partners are from a distribution perspective to really expand the brand.
Jeffrey Stevenson: Great. That's good to hear. And shifting to site built. Obviously, it's been a challenging year of deflation headwinds. And do you think you could see any signs of price stabilization in the first half of the year, especially if the builder spring selling season comes at least in line with the current expectations?
William Schwartz: Yes. Certainly, that remains probably the cloudiest and most challenged market. Mike, do you want to add any color to that?
Michael Cole: Yes. I think thinking about the site built group, midyear seems to be about the point where we lap the really difficult comparisons. We saw some sequential pricing challenges, I guess, going from Q3 to Q4. We know that year-over-year, the first half of the year is going to be tough comparisons. But it's about midyear last year, where we really saw volumes begin to drop pricing become even more challenging as the large builders, in particular, worked hard to reduce their inventory. So -- the back half of the year, I think we've got an opportunity to maybe comp a little better, but the first half of the year is going to be tougher.
Jeffrey Stevenson: Got it. Got it. Makes sense. And then one clarification question. The $300 million to $325 million you announced in capital project investments this year. Just for clarification, will this be primarily in the retail business, just given you've announced future organic growth investments in all 3 of your primary operating segments?
Michael Cole: Yes. That is most heavily weighted towards building out -- finishing the build-out with Deckorators. And we talked about the Buffalo plant a lot, but also adding capacity in [indiscernible] to produce the wood plastic composite.
Operator: One moment for our next question, and that will come from the line of Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Maybe to start with on the balance sheet side, clearly, it's really strong. Can you talk about -- a little more about the M&A pipeline and where you see the most opportunity? It sounded like that in 2026, you are skewing more to M&A versus 2025, which was more share repurchases focused.
William Schwartz: Yes. The pipeline is really -- it's better than it's been in the last 3 years, for sure. And some of that's intentional and because of the efforts we're putting in, where I see the best opportunities, we're going to continue to strengthen the core of our business. That's where we're going to go and remain return-focused, Ketan. That's key to everything we're looking at. And they've got to match up to the strategic priorities that we're going after. So we're talking to companies and creating outreach that drives that.
Ketan Mamtora: Understood. And just related to that, has your view changed at all on through-cycle profitability on the packaging business? I know in the past several years, that has been a growth -- M&A growth focused area. How are you thinking about packaging in terms of just M&A opportunity?
William Schwartz: Yes, that's certainly a highlight area for us and one that we think is extremely fragmented and a place that we can make a real difference. It's a good business for us. We understand it. And so that's definitely an area of target.
Ketan Mamtora: Got it. And then just switching to ProWood and just broad R&R. Can you talk to some of the trends that you are seeing? We know and you've read so much about new resi being weak. I'm curious -- on the broad repair and remodeling side, what sort of trends are you seeing?
William Schwartz: Yes. We're -- we continue to see -- I mean, it's -- right now, it's just a soft market. Consumer confidence is challenged, affordability is challenged. But we feel strongly that our portfolio and mix of businesses allows us to capture wherever those opportunities come from, Ketan.
Michael Cole: Yes. Maybe it makes sense to kind of break down the ProWood numbers too. The 13% decline, the way we estimated that, that storm-related demand, which really you had that in '23 and '24, I didn't have it obviously in '25. We think that was about and 8% of the unit decline. So if units were off 13% in ProWood, 8% of that we think was storm related, which takes it down to mid-single digits on the rest of the business. And we think that's just soft demand generally with higher interest rates and weaker sentiment. Looking forward -- we haven't lost any share or anything like that. Looking forward, we would probably look to our customers' outlooks for the year there. And I think those are flat for the most part.
Ketan Mamtora: Got it. That's helpful. And then just last one on factory build, 2025 was a pretty healthy year. Curious what kind of trends you're seeing so far this year and your expectations for '26?
William Schwartz: Yes. That's an area that we believe and continue to believe has the ability to tackle some of the affordability challenges in housing. And so we've committed to it. We've talked about bringing products to that market that enhance the visual appeal, bring it closer to a traditional Site-Built home. And I think it's a place we can really capitalize. I think there's some opportunity there, especially in an affordability challenged market.
Michael Cole: I should also mention, we did lose a little bit of share on some commodity business. So the units there could be a little challenged for that. I don't want you to be surprised by that, but there's been really good momentum on the new product side. So there could be a positive mix change with some new product momentum. Will had mentioned in the dropdown deck, the Endurable drop-down deck and then branding efforts on our -- some of our other products, the BRAWN brand within Factory Built.
Operator: One moment for our next question, and that will come from the line of Andrew Carter with Stifel.
W. Andrew Carter: So what I wanted to ask is, I know you don't want to give explicit guidance, but given that you have a more manageable unit decline line this year, low single digits, you talked about the cost savings coming through the $100 million of incremental Deckorators, I'm assuming that will be margin accretive -- or I'm sorry, expenses look normalized but correct me on that. Why wouldn't EBITDA margin stabilize this year potentially through the year? And any kind of guidance about -- will go a deeper decline first half second half? Anything you'd give us there on kind of the stabilization of the margin in this business?
Michael Cole: Yes. You can tell that we feel like with stabilization in packaging, Site-Built is going to continue to be a challenge, but we feel like we have some offsets in the concrete forming and in the commercial side and then factory build, as I mentioned, with new products. And then on retail, there's lots of opportunities for margin improvement in retail, and that's our expectation with the -- with not only Deckorators but also with ProWood. ProWood also has with the ability to capture that, that incremental margin from the distribution but also not selling into a down market, hopefully, in the primary selling season and some other initiatives that are in play for cost out on cost of goods sold. There's a lot of things to be excited about from a margin standpoint. So the one challenge I guess I would point to is we expect Site-Built to be a challenge, particularly in the first half of the year. But otherwise, we are optimistic about the margin profile moving forward.
W. Andrew Carter: I want to focus on that back on the construction gross margin in the quarter. I mean it was down 67 basis points year-over-year, significant improvement from minus 251. Builders FirstSource margins dropped actually got a little bit worse sequentially. I guess, I would say is that was more stable versus my expectations. You still have the headwind from Site-Built underperforming the rest of the portfolio. But is there anything to call out in that stability? And would we expect any of that stability to continue in the next year? I know you just told me Site-Built will be tough, but I just want to -- I'll stop there.
William Schwartz: Yes. Sequentially, it was under pressure from Q3 to Q4. But hopefully, we've hit a bottom here. We know that when it comes to the year-over-year in Q1 and Q2, it's going to be a tougher comparison, right, because we've stepped down throughout the year this year, the entire year. So hopefully, we've reached the bottom here. And once we get to the point where we lap in middle of the year, that will no longer be a drag.
W. Andrew Carter: Just a final question around kind of Deckorators, the $30 million in advertising investment. Could you remind us among that $30 million, how much is dedicated to contractors? How much is dedicated to consumers? What metrics you have to keep that investment in place? And how long do you expect to sustain that $30 million investment through '27 to '28? Will there be a big step down? Or are you going to wait for the business to just grow into that level of advertising support?
William Schwartz: Yes. We do not expect to step that down anytime soon. I think the brand is gaining momentum, as evidenced by the sales and demand for the product. And we've got to reach that end consumer to describe and explain the attributes associated with that product, what makes it different. And so right now, we're really hitting on all fronts and attacking all markets from a marketing perspective and strategy perspective. But we've got to get to that end consumer. So they understand the value around that product. And -- but you should expect to see that continue into the future. And at some point, we'll probably become a percentage of sales type marketing spend.
Operator: I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Mr. Schwartz for any closing remarks.
William Schwartz: Thank you all for joining us for our fourth quarter call. It's clear that we rose to the challenge and navigated a tough year, and that's because we have the right team in place. Thank you to our employees, to our customers and vendor partners who make our success possible. I'm optimistic about what 2026 will bring. Thank you, and take care.
Operator: This concludes today's program. Thank you all for participating. You may now disconnect.